Patricia Cosgel: Good morning, everyone, and thank you for joining us for today's presentation. First, I'd like to give an overview just before we begin. We'll begin our presentation this morning with our fourth quarter and full year 2017 earnings results and then move directly on to our long-term outlook update. Following those presentations will be Q&A. For each presentation, please hold of your questions for the Q&A session. Presenting our fourth quarter and full year earnings presentation and long-term outlook update will be Jim Torgerson, our Chief Executive Officer; Rich Nicholas, our Chief Financial Officer; Bob Kump, our Chief Executive Officer of Avangrid Networks; and Laura Beane, our Chief Executive Officer of Avangrid Renewables. Please note that copies of our presentations and press release are also available on our website at www.avangrid.com. Finally, during today's meeting, we'll be making various forward-looking statements within the meaning of the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995 based on current expectations based on assumptions which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect or because of other factors discussed in Avangrid's earnings news release, in the comments made during this presentation, in the Risk Factors section of the presentations or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our website, avangrid.com. We do not undertake any duty to update any forward-looking statement. Today's presentations also include references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentations for definitional information and reconciliation of non-GAAP financial measures to the closest GAAP financial measures. With that said, I turn the presentations over to Jim Torgerson.
James Torgerson: Thank you, Patricia, and welcome, everybody, to the Investors Day where we're talking about our fourth quarter and year-end result and then the long-term outlook. First off, let me start with the net income. As reported under GAAP, net income for the quarter was a loss of $77 million or $0.25 a share, and for the year $381 million or $1.23 a share. On an adjusted basis, net income for the quarter was $188 million or $0.61 a share, and adjusted net income $682 million or $2.20 a share. Now there - the adjustments that we made for the year relate to tax reform, the gas storage business and taking a loss on that transaction, impairment of one of our wind farms among some of the others things that we normally have. Also I want to say that our New England Clean Energy Connect transmission project has been selected to enter into concurrent conditional negotiations in the Massachusetts RFP, so we'll talk a little bit more about that as we go along. We also concluded the review of our gas storage business and made a decision to pursue a sale, and we announced the sale of the gas storage trading business in January, but then also the sale of the gas storage facilities last week. The federal tax reform resulted in a onetime gain in the fourth quarter for Renewables and the wind resources and the transmission outage had impacted our results versus our expectations in the fourth quarter. Now as we looked at the capital investments, they were up $2.3 billion or 18%. We executed 846 megawatts of PPAs in the fourth quarter of - for all of the year 2017. In the fourth quarter, we had 2 new PPAs for 194 megawatts with Google at Coyote Ridge and Tatanka Ridge, and then also 166 megawatts PPA with a public service of New Mexico from our new La Joya facility. We had multi-year rate settlements with a 3-year rate plan in New York and Connecticut. We also settled a 3-year rate plan for Southern Connecticut Gas, and then we also had the FERC formula rates, which give us about a 85% coverage of our rate base already secured. Growth remains supported by our really strong credit metrics. Debt to total capital is about 30%. Net debt to adjusted EBITDA is at 3.1 times, and this reflects the sale and the loss of - future sale and the loss on the gas storage business but also the tax reform. And the board declared our quarterly dividend of $0.432 a share last week, payable April 2. And we're planning to increase the dividend in '18 consistent with the 65% to 75% payout ratio. Now looking a little bit more at our net income. It really reflects the impact of the strategic decisions to sell the gas storage business. And you see in the quarter, we were down from $0.67 in the fourth quarter of '16 down to $0.25 loss. When you net everything together, it was like an $0.86 loss in the quarter. Now let me break it down a little bit. The gas storage loss for - held for sale measurement, we haven't sold anything yet, we've had agreements to sell, it was $507.6 million. Now $463 million of that was the actual net loss, and there was another $43 million that was impacting our Renewable business by the change in the unitary tax, which is really applicable just to the change in the status of the business for gas storage and then it actually lost $0.09 a share in the quarter. Tax reform gave us a benefit of about $328 million or $1.06 a share, and Renewables mark-to-market was down $0.03. That's a normal mark-to-market activity. We had an impairment on our wind farm, our Colorado green, of about $37 million. This was really caused by a triggering event due to the expiration of the PPA in 2018 and then also tax reform had an impact on it. And there's really no current market in that area, it's all merchant power. So we have to rely on PPAs which we are bidding into. So we think long term it's going to be fine. But based on the accounting regulations, we had to take that impairment, we believe, and this is an isolated event for that one wind farm. Also, we had a corporate restructuring charge based on the voluntary separation plan and some facilities consolidation. Moving to the year. You know, the execution of our best practices in cost management and the multi-year rate plans mitigated a lot of the impacts of the low wind production. Wind production was actually up 2% over 2016, but that was reflective of the fact that we had a new wind farm that we call Desert Wind, but Amazon Wind Farm East that we have in production started in the beginning of 2017. For the year, networks was down about $0.04 a share, mainly since there wasn't a New York depreciation true up in this year but there was in the fourth quarter of '16. Renewables is off $0.01, mainly because of lower wind production and PPA roll-offs and then the corporate was down to $0.01 as we had additional interest expense. One thing I want to point out is in the fourth quarter in Renewables, one of our projects, El Cabo, not only had low wind resources but there was an extended transmission outage for El Cabo that limited the amount we could produce. It was originally going to be a couple of weeks, but ended up being a 3-month outage, and it cost us about $0.05 a share. Lower wind resources also impacted in the West about another $0.01 a share but the cost management and best practices that we implemented throughout the year partially offset those charges or lack of revenue, I should say. Now for net income, earnings per share was impacted by fourth quarter onetime items. As I said, the commercial operation of the Amazon Wind Farm East and our focus on operational excellence best practices allowed our adjusted income to actually go up 6% from $2.08 to $2.20. Wind production, as I said, was off 2% as from existing wind farms not including the new production we have. Capital spending. When we look at capital spending, it increased 13% versus 2016. It also includes a 1 gigawatt safe harbor purchase for 80% PP fees for the networks business, you can see it was up to $1.3 billion. In Maine, we had our customer Smart Care, a data system, which allows for dynamic pricing and optimizing our advanced metering infrastructure system capabilities. In New York, we had begun a Retirement and the Auburn Transmission Projects for about $250 million were completed. And in Connecticut, we're working on the Metro-North transmission lines which will be completed in 2020 at a cost of about $175 million. For Renewables, we added 590 megawatts, four wind projects of just 534 megawatts for El Cabo and New Mexico, Tule in California, Deerfield in Vermont and then Twin Buttes in Colorado and the Gala solar project in Oregon of 56 megawatts. And we started construction another 411 megawatts Wy'East, which is a small solar project of 10 megawatts in Oregon, Karankawa in Texas of 200, and then Montague in Oregon also of 201 megawatts. Wy'East will be online in 2018, the other 2 projects in the - up by 2020, and it's really based on the customer requirement. Now the tax reform and Job Act. In New York, Connecticut, Maine and Massachusetts, where we actually have the utility operations, each jurisdiction is reviewing the impacts and methodology for ensuring the ratepayers get the benefit. A matter of fact, we even send out a release that said look, we recognize it's a benefit which have to go back to the customers, no matter how you do it. And we're looking at different strategic programs that would allow getting paid for AMI or DSIP, the distribution system implementation plan that would improve the data we can get from the system and make the smarter grid. Looking at offset some of the adjustments for regulatory assets we may have and getting compensated for that rather than just putting it back into the tariffs and getting paid back directly to customers and looking at rather than just rate credits. And then FERC, we also know, is issuing guidelines and reflecting the lower tax rate and how we're going to deal with the excess cumulative deferred taxes in our formula rates comes from other regulatory aspects. The collaborative on Earnings Adjustment Mechanism negotiations is ongoing. We expect to really implement that in 2018. And the determination of the advanced metering infrastructure schedule was deferred to early '18, we expect a decision sometime at the end of the first half. And we also are entering or have been in settlement discussions on the storm docket in New York. We settled the Southern Connecticut Gas rate case and rates went in effect January 1, and we are intending to have rate filings for both Connecticut Natural Gas and Berkshire Gas in 2018. From the FERC standpoint, the ROE complaint number 4 continues through litigation. We're expecting an initial decision from the ALJ on March 27, and really there has been no progress on the other complaint. So looking at our guidance for this year. On what I'll call GAAP earnings, we're looking at $2.16 to $2.46 a share. Adjusted earnings, we're looking at $2.22 to $2.50. Now if you look at networks, $1.78 to $1.86, renewables $0.55 to $0.70, and then corporate minus $0.15 to minus $0.05. One thing I need to point out, one is the sale of the gas storage business. We're expecting to close the trading business in March and then the other - the asset business in the first half. We also had a $0.06 a share loss in interest income that's reflective in our guidance mainly because we had to recapitalize the gas storage business and taken all the debt that they had. In order to do that, we had to put that in corporate. So that moves $0.06 a share away from the gas storage business which we were showing as the non-core and in the adjusted numbers. Now it's back into the actual operation. And so we now have that $0.06 loss or $0.06 cost on interest back in the operation. We also expect to have what we'll characterize as normal win, and then earning the allowed returns and into the sharing bands for the utilities again using our best practices in cost management, and also we had the rate increase in New York and Connecticut. Renewable, we're at 590 megawatts in 2017 that were put into place. We also have 255 megawatts of PPAs expiring during 2018. So with that, I'm going to turn it over to Rich who's going to go over the financial.
Richard Nicholas: Thank you, Jim. Good morning, everyone. For those following along online, we're on Slide 15 which is the GAAP earnings for the full year, a roll-forward from 2016 to 2017, as Jim mentioned, the big impact in Renewables from tax reform and then the big negative in gas on the held-for-sale re-measurement that took place. Moving to Slide 16. On an adjusted basis, again a roll-forward from 2016 to 2017. As you can see there, slight gains in both Networks and Renewables, a little bit of a drag at corporate given the interest expense that Jim mentioned moving over from gas storage, but overall, $2.20 a share, full year on an adjusted basis which is about a 6% growth rate from 2016. So getting in to a little more detail on Slide 17. We have the Networks adjusted net income by a component, the major differences in the fourth quarter. The benefit of new rates were more than offset by the absence of a true up that Jim mentioned that took place in 2016, also additional finance cost as we raise debt to support CapEx. Transmission, a couple of penny improvement as we continue to grow rate base in our Transmission business. And then we did transfer from the network segment into the corporate segment. What had been a UIL-issued corporate bond of $450 million, we moved that up to the Avangrid level, so that net interest expense now shows up in corporate and not in Networks, and income tax little higher, given the higher earnings, so a bit of a drag there. Similar impacts in the full year, although for the full year, the new rates have more than offset the other changes, again growth in transmission rate base, benefit from transfer of the bond over. So moving to Slide 18. Looking at the Renewables business on a little more detailed level, adjusted net income for the fourth quarter and full year. Small ups and downs in the fourth quarter, as the wind resource continued to lag a little bit, but we did see a benefit from income tax adjustments that took place on an adjusted basis. Similarly, on the full year, impact positively from income tax adjustments of $0.09 a share but a pretty good drag from the wind resource on existing offset somewhat by the production on new plants, specifically the Amazon wind farm East that took place early in 2017. On slide 19, on the corporate segment, a couple of the items we've already been mentioned in the other segment impacting the transfer of the UIL bond, as well as the interest expense coming from setting up the gas business for sale making it debt-free, cash-free in order to sell the business. So now on Slide 20. Total capacity increased as we added 590 megawatts during the year. We've got another 411 under construction and moving along quite nicely. And then as we look at our average load factor for the year, slight decrease primarily driven by our wind farms in the West. In the Midwest area of the country, wind was pretty good even in the East, but the drag from the West reduced our total load factor by about 3% year-over-year, and then we did have the transmission limitations that Jim mentioned at El Cabo which limited our ability in the end of year to get production out of New Mexico. So a little more detail on Slide 22. Looking at the regions, and there you can clearly see in the fourth quarter, the West ended up, it was only 20% of our total production but for the full year it was 25%, so fairly significant drag. And in the West, is where we have some of our higher-priced legacy PPAs as well. As a result, when you look at the average price, both for the fourth quarter and the full year, we're off a little bit, primarily driven by that lower wind in the West where we have higher prices as well as we did have some PPAs expire and we rolled to merchant or some were re-contracted. Slide 24 now. When we look at our cash flow for the year, cash flow - cash CapEx exceeded cash from operations by about $600 million. We did issue $600 million of debt at the holding company level during the year as a green bond to support the growth in Renewables and specifically some of the projects that were either just recently in service or going to be in service during 2017. So when we look at our financial strength coming out of the year, still very strong credit metrics. Our net debt with our recent issuances is now up to $6.3 billion, but at 3.1x net debt to adjusted EBITDA. Net leverage still very low, at around 30% but up somewhat from the last time we talked to you where we were in the 25%, 26% range and strong FFO to debt, funds from operations to debt, of 29% with solid investment grade credit ratings, BBB+, Baa1 and BBB+ from the various rating agencies. So with that, we're going to move back to the long-term outlook and back to Jim Torgerson.
James Torgerson: Thanks, Rich, and now to the long-term part of the program. Those are all the reconciliations that you're going to look at together with adjusted net income. So I'm obviously not going to spend any time on that. And we'll get the new one out. There we go. Well, until we get this going, let me give you a couple of things. Avangrid, basically we're a leading sustainable U.S. energy company with regulated utilities and contracted renewables. Now we have 8 regulated utilities in 4 states, 3.2 million customers and a $9 billion rate base as of the end of 2017. We also have 6 gigawatts of wind and solar in operation, with 75% to 85% of that hedged. The transmission electric and gas distribution growth is very strong for us. As a matter of fact, as we just - as I said earlier, we got the New England Clean Energy Connect transmission project selected to enter into the concurrent conditional contract negotiations in the Massachusetts RFP. What that means is that they're still negotiating with both - with Eversource project, Northern Pass and us concurrently. By March 27, if Eversource is unable to get their permit in New Hampshire, then the project goes to us. So that is basically what's going on, and over the next month, we'll be negotiating the contracts and get that done in the meantime. So people are going to make their own judgment as to what's going to happen in New Hampshire, but keep in mind that they ruled 7 to 0 to not to approve the project previously. We also have 8 gigawatts of onshore wind and solar pipeline and a 4 gigawatt offshore wind pipeline as well, and we have very attractive financial strength. When you look at it, we're a sector leader in having a great balance sheet and very low leverage at 30% today. We're expecting to increase our dividend in 2018 and we're divesting of our non-core businesses, the gas storage. Both the trading and the asset business, we have agreements to sell both of those at this point. Now Avangrid is investing in, what we'll call a smarter and cleaner energy future. And we look at 3 core areas to focus on that. One is to focus on clean energy. We're the third largest wind operator in the United States and we have 90% emission free capacity and we look to be carbon neutral by 2035. We have a 12 gigawatt renewable pipeline and we're also focusing on transmission solutions. Our New England Connect Project is a clear example of that but we're also starting to look outside of our area, and Bob's going to touch on that. We have advanced metering infrastructure and the smart grid not only in New York but we're putting that in everywhere in our - of our utility. And we're looking at how do we use - get electric vehicles and battery storage implemented into our system and how do we utilize it better for our customers, how can we leverage that and how can we facilitate those for our customers. Now we have the smart community, in Ithaca we have a pilot project there, look at how to operate all these distributed energy resources along with the smarter grid and the advanced metering infrastructure. We have our new customer care system in Maine, which is going to prove great benefits for the customers in Maine as they can then move to dynamic pricing, be able to utilize the system to its optimum. And then C&I Solutions. When we look at our customers, particularly on the northwest for our Renewable project, how do we leverage that, how do we use our - the assets we have to provide benefits for our customers and getting them what they desire and what they need to operate their businesses. And then all this is how we're going to deliver sustainable growth and value creation through 2022 and even beyond that. So when we look at the investments we're going to be making, we'll be looking at investing $14.4 billion between 2017 and 2022. Now this does not include anything for our New England Clean Energy Connect project or any offshore other than the actual activity we are going right now but no strong investment there yet, or any of these other projects that aren't in our forecast, obviously. There's a few others that we're looking at. The investments are going to peak in 2019 with these projections with the new wind projects, re-powering, AMI and the smart grid. So the average annual investment looks like it's going to go from $2.25 billion up to $2.41 billion and you can see Renewables is up a little bit and so is Networks, and they still represent about 36% and 64%, and that's what's going to be delivering our earnings growth through 2022 and beyond. And I want to highlight a little more on our investment. When you look at it, we're very confident at what we can do with our investment. Total investments, 87% are secured or highly likely. I know we talked about this last year. Look at networks, 87% are already secured and this - what that means is they've already been approved in rate cases or our programmatic, programs that we have ongoing. The ones that are considered highly likely are our advanced metering infrastructure in New York. The MEPCO 388 Line and the Mid Coast Main Line, those are 2 lines in Maine; and then Bright Line. Bright Line is a project where NERC and FERC are requiring us to upgrade the security basically at our substations, both physical and cyber, and that's a huge investment we're going to have to be making across our entire system. When we look at the Renewable business, what we consider secured is 53%. Anything - and those mean we have a PPA, we have a contract in place for - to make those investments. For the highly likely, we're in advanced stage contract negotiations and that's about 9% of the investments. Then 38% is in the likely category. That's where we have engineering site assessment applications are in. And so those are the things we're going to be looking. So when you put it all together, we'll be investing $14.4 billion and 87% of it is in the secured or highly likely category already through 2022. Now looking at our long-term plan. Through 2022, we're looking at continuing our 8% to 10% growth. We're reaffirming the 8% to 10% growth from '16 to '20 and were also same from '16 to '22 we're going to have 8% to 10% growth. The only difference between the - what I'd call, the GAAP earnings and the adjusted earnings are some mark-to-market that we know about today where hedges tend to roll off. The only thing that I want to make sure everybody is aware of, it's not going to be linear growth. I mean, when you look at 2019, it's going to be impacted by PPAs rolling out. We have about I think it's like 278 megawatts in '18 and 155 megawatts in '19 of PPAs that roll off. We have about 10 megawatts of new construction that will be done this year for 2019. Then we have a number of new projects coming in, in late 2019, 2020 of our PPAs that will be in place where the construction is occurring. Now a lot of this is based on our customers' demands and what they want and when they want the new renewable energy. So looking at the secured investments, they actually support 85% of our earnings growth and secured means we have - in order to hit this target and it's saying we will get 7% to 8.5% compound annual growth just from our secured investment, now this means that those secured investments we got to make the investments timely, get it on our budget. We need to be able to earn the allowed returns. We need - production from wind and solar, it comes on as planned. And then also the merchant pricing is consistent with our forecast, and that's one thing really we don't have a lot of control about but I think we've been very conservative on our pricing for the forecast for merchant. Then we get into the category of the highly likely that - for Networks and Renewables. For networks, it's really getting the AMI project and the distribution improvement plan in place. And that - part of that is actually in our period already. But it's also saying the best practices we will be implementing will allow us to earn into the sharing ranges for the ROEs which we have done already. And you look at our results so far, we've been able to demonstrate that. And then from the Renewable business, the new production is implemented timely with the PPAs that are in our forecast. So we're highly confident we'd be able to do all those things and get to the 8% to 10% range that we talk about. When you look at our rate base, it's growing about 9%. It's going to go from $8.7 billion to $14.5 billion. Some of the things that are benefiting it right now, actually the tax reform where we don't have bonus depreciation anymore, that's a big plus for us. So 85% of our rate base is secured with multi-year rate agreements and then the FERC formula rate. ROEs, we want, as I said, earn into the sharing bands, and the rate base increases with investments. We don't have bonus depreciation. Re-measurement of the deferred tax assets due to tax reform also boost the rate base. So that - and it does include - that includes both the secured and the highly likely investments. Installed capacity increases are going to go up 2.7 gigawatts, and all of those will have PPAs. We're not doing anything that doesn't have a PPA. So you'll see we'll go from 5.9 gigawatts to 8.6. Now the growth, we're looking from 2016 to '20 would be 1.9 gigawatts, that's actually 100 megawatts more than we had in last year's long-term outlook. 1.4 gigawatts are already secured with PPAs. Going to 2022, we're going to add another 800 megawatts, taking to 2.7 gigawatts. And again, we have 1.4 gigawatts already secured. We also did a safe harbor purchase. We have 2 gigawatts at 100% for PTCs. We did another one this last year to get another gigawatt at 80% PTC. Our net capacity factor, the wind capacity factor increases at 34.5% by 2022. New wind is at - we're forecasting to be at a 40% NCF. And operating wind, those that are already in place, were 32%, and solar is at 30% capacity factor. Now our Forward 2020 vision. We're still implementing this and we will be for the long term. This is a project that not just a one-shot deal but this is an ongoing continuous improvement project to implement, best practices to drive top tier performance in the industry. What we're doing to look at talent attraction. We have hiring strategies. We're partnering with a number of universities, MIT, Cornell and Yale to work with them to get innovation put into our project and to be able to attract the talent we need for an agile organization to be able to operate in this new environment. We're driving innovation with technology, deployment and digitization. That has become a core value for us, to make sure that we're driving innovation throughout our organization and delivering of customer solutions and quality of service. When you look at AMI, you look at customer care in Maine. You look at our customer solutions, we're developing and implementing in our Renewable business. This is what we need to do is focus on our customer driving the solutions that they require. And then we have a continued focus on safety and reliability. Safety is a core value for us and it's something we look at every day to make sure our employees, our customers and the environment are being operated in a safe manner. We have our cost management targets. We want to manage our O&M to achieve best-in-class operational efficiency as we grow the business. That's our goal and that's what we're going to accomplish, and that allows us to mitigate rate impacts in our capital plan. We've also moved away from the ratio of O&M to gross margin mainly because of the tax reform. It was skewing the results. It changed the results because it moved, reducing the amount that we had in revenue and gross margin because we have to pass it back to customers. Now it will affect the bottom line but the metric didn't make any sense anymore to us, so we're going to focus on O&M specifically. Driving the transformation towards the digital utility. Intelligent grid operations, we have over 600 digitized substations remotely monitored and controlled today, 1.2 million smart meters in 2017 which will increase to all 3.2 million by 2022. We're looking at digitizing our customer services and all of the interactions we have. And the advanced grid analytics and big data, this is going to be utilized to model and forecast the usage of distributed energy resources throughout our grid, then we have digital asset management control with our national control center which is a 24/7 operation for all 3,400 wind turbines and solar and gas generation that we have today. We have advanced in-house O&M models and digital fieldworkers. This means that people out in the field can operate digitally not only with renewables but we're putting work pads out there for all of our employees out in the field to facilitate getting their work done faster, more efficiently and more accurately. The balancing authority in the Northwest will be managing our portfolio, 1,300 megawatts and implementation of a production boost software for our wind turbines which will allow us to increase production 1.5% to 2% on all of our wind farms as we implement that over the next year plus. And then we have the smart corporate services, centralized shared service model. We put in a one HR system, which allows us to operate all of our HR activities throughout the U.S. from one central area. Advanced analytics for cybersecurity, this is an area that's very important for the - not only utilities but also renewable business to make sure we're monitoring activity throughout our system and then acting upon it. Consolidation upgrade of data centers. We had 1 in almost everywhere. We'll consolidate it down to 2 - 1 and a backup. And securing advanced skill set with agile talent, we want people to be able to work more effectively, using the systems and software and the tools we have today with new talent. So we're going to deliver efficiencies, optimizing operations and really enhancing our service. So when we look at our financial position, maintaining our financial strength while delivering strong growth, these are things we have to do. We're going to increase our debt by about $7 billion with new investment and tax reform. And we don't - we won't be needing any new equity in the long-term outlook, we still have a strong leverage ratio compared to our peers. Rich is going to give you some of the statistics on that, and continue to focus on maintaining a strong credit ratings at all the agencies. We expect to increase the dividend beginning in 2018. Today it's - the floor is at $1.728 a share. We're targeting 65% to 75% payout ratio. And if you look at an example, let's say, a 65% payout ratio and taking our adjusted earnings per share CAGR results. And I would give a dividend between $2.50 and $2.35 a share in 2022, which is 22 to - 25% to 35% cumulative growth versus 2017. Having been with UIL, where we haven't had the opportunity to raise the dividend in over 20 years, I think it's about time. So we look at projects outside of our long-term outlook. We have transmission solutions we're looking at in and outside of our service territories. We have the New England Clean Energy Connect project now, which we think will be happening. Electric vehicle-enabling strategies, smart customer solutions, which I've talked about and wind and solar. We've got 12 gigawatt pipeline and 2.7 gigawatts coming out by 2020. Offshore wind is going to be huge for everybody, but us in particular with our partnership with CIP and then our ownership of a lease off of Kitty Hawk, North Carolina. Renewable customer solutions, particularly for our C&I customers and then battery storage solutions, and from a focus on the sustainability and strong corporate governance. CO2 emission intensity, we're 8 times lower than the average utility industry in 2016. We have ambitious targets to reduce CO2 emissions intensity, 25% reduction by '20 versus '15 and then carbon-neutral by 2035. Carbon Disclosure gave us a project score of A minus. We're one of only 5 utilities in the U.S. to receive that. Thomson Reuters in 2017 top 100 global energy leader, we're 1 of only 7 companies globally to earn that. So 60% - greater than 60% of our revenues from environmental beneficial products and services. We're also committed to ethical principles, transparency and leadership in our governance. We are a controlled company, but we do have majority voting in uncontested elections. That was implemented in 2017. Eight directors are not affiliated with the IBERDROLA, 6 of which are independent under the New York Stock Exchange rules. And we also now have a separate compensation, Nominating and Corporate Governance Committee. We were named in 2017 North American utility with the best corporate governance for the second consecutive year by Ethical Boardroom publication. And we're a finalist in 2016 New York Stock Exchange Governance Rule - Awards. Finally, the strategic focus for executing on our long-term plan. We're looking at 8% to 10% growth in adjusted earnings per share for '16 to '22, but also from 2016 to 2020. We're going to do that by implementing our best practices, continuing to focus on getting our returns into the sharing ranges. We're going to focus on our core businesses, now that we're exiting the gas storage business. We have Renewables, we have Networks. Those are the 2 businesses that we're going to be in for the future. And we want to maintain our financial strength while delivering sustainable value. So we're going to grow with sustainable value creation in those two businesses. And so now I'm going to turn it over to Rich, who's going to talk about financial impacts.
Richard Nicholas: Well, thanks, Jim. We're now on Slide 21. And as you can see, we've got some very exciting opportunities in front of us, and we've got a very strong financial position in order to support that and to deliver on the commitments that we've made. And so as we look at the new plan from '16 to '22, continuing at 8% to 10% compound annual growth rate, which does not include the North East Clean Energy Connect project or offshore. But also wanted to remind folks that we remain committed to delivering on our original plan which was 2016 to 2020 of 8% to 10% growth, and we are on target to deliver on that commitment. So as we look on Slide 22, Networks remains roughly 3/4 of our business going forward on an adjusted EPS basis, growing from about 75% to 77%. And Renewables grows then from 15% to 32%. But when we look at 2016, there were some unitary tax adjustments which brought Renewables down and benefited Corporate, so that's why you see Corporate turning to a negative in the future, without that unitary tax adjustment with the interest expense from holding company debt. Primarily that will be issued to support the growth in the Renewables business. So looking at Slide 23, over this planning period now from 2017 to '22, $14.4 billion of capital, excluding the growth projects for Clean Energy and for transmission - for the transmission for that and the offshore wind. About 9% compound annual growth rate on rate base, which is really going to drive the earnings in the Network business, and we target to earn at least our allowed returns, but earning into the sharing bands benefiting from the best practice implementation, our Forward 2020 program that Jim talked about. And on transmission, we continue to accrue at the current allowed base rate of 10.57%. Our all-in rate is slightly over 11% with the incentives that are there, and hopefully, we'll see a resolution sometime in 2018 to the ongoing disputes at FERC. Moving to the Renewables business. Over 2.4 gigawatts of new wind over this planning period, over 300 megawatts of solar and over 300 megawatts of re-powering. We have safe harbor sufficient turbines to support 2 gigawatts at 100%, 1 gigawatt at 80% and enough safe harbor to support 372 megawatts of re-powering. We do see our average capacity factor increasing a little bit as new production comes online, but merchant pricing stays relatively flat. Although, we do see REC prices coming down somewhat from current levels of $8 to $11 per megawatt hour to around $5 per megawatt hour. And we do see PPA prices continue to decline as we enter into new agreements. We do assume that we will have tax equity for the El Cabo project sometime in probably the first half of 2018. And obviously, we're excluding the gas business, as those sales will all be complete in the first half of 2018. So moving to Slide 24. As Jim mentioned, we're going to be in a position that our debt will increase by about $7 billion, which is $6.4 billion of incremental debt. And then there's an accounting change with how we're going to have to account for leases, which will add about $500 million of debt to the debt category on the balance sheet. No change in the leases that we currently have. It's just an accounting convention. Probably, you will see debt increase by that $500 million as a result. So between $11.5 billion of cash from operations, $6.4 million of new debt, payout $3.5 billion in dividends and CapEx of about $14.4 billion over that period. As you can see, both Networks and Renewables will require funding to meet all of the CapEx requirements going forward. But even with all of that funding, our projections take our debt to total capitalization rate up to 43% by 2022. It would have been around 40% without tax reform. As Jim mentioned, there will be regulatory proceedings that will determine how that tax benefit flows back to customers, but clearly, there'll be less revenue coming into the business on the network side, and we'll need to fund that in order to support the growth. Still compared to many in our industry, very strong at 43%, and we don't need to issue equity as a result of tax reform as some other companies will need to do. If we are successful in winning the RFP in Massachusetts for the New England Clean Energy project, that 43% would go up to about 45% for - if there was another $1 billion hypothetically on the balance sheet. So again, strong financials to support the growth and the incremental growth that we see coming. We're also looking at additional tax equity, if that's appropriate, on a project-by-project basis in order to be sure that we can monetize the tax attributes and going through the regulatory processes, looking at both the timing and amounts of the giveback and ways to mitigate some of those effects. We do have a number of maturities coming up during the planning period about $2.2 billion. In 2020, you see the largest amount there, over $700 million. That's primarily due to the $450 million what was the UIL Holding company debt that we mentioned earlier, that matures in 2020, but all very manageable over the planning period. So on Slide 27. When we look at our financial strategy, still strong cash from operations even with a little reduction at Networks due to tax reform, and so we'll have $6.9 billion of incremental debt. And the plan, right now, assumes all of the financing for renewables will be done at the AVANGRID level. We've issued our first green bond last year. That was a very effective way - go to market. We don't have any plans for any new equity, and we, moving down to the very bottom of the slide, look at tax equity on a case-by-case basis and see whether that might offset some of the other long-term debt. We do have the ability on a day-to-day basis with an internal cash pool to make the most effective use of our cash on a given day. And we have a $1.5 billion revolving credit facility, which backs up a $1 billion commercial paper program at the AVANGRID level. So just spend a moment on some of the key impacts from tax reform. Networks, actually, is a beneficiary in terms of a higher-rate base. We don't have bonus depreciation any longer, and right now, deferred taxes are a reduction from rate base and that amount will get smaller over time. The Renewables business, obviously, benefits from the reduction in the tax rate to 21%. And then there's a little drag at Corporate, because Corporate is projected to be a loss, so there's a little less of a tax shield, since we have a lower rate. So those 3 things combined, we would expect to add about $0.10 a share in 2020, but we will, as a result of the lower cash coming out of Networks, have increased finance costs. And so when you look at a net basis all-in, including the debt we'll need to raise to offset the cash reduction, that's about $0.05 a share of a drag, and so overall, about $0.05 net-net that will be a benefit to us coming out of tax reform. Also I wanted to provide some sensitivities to the plan. So as we look out to 2022, what things could change, how would they affect our results. The transmission base rate, if it was to go back up to the originally allowed 11.14%, that would add about $0.03 a share on an adjusted basis. And then, generally, a 50 basis point change in the transmission ROE, if it was to go down by 50 basis points, that would also be about $0.03 a share. Rate base, if we were to increase rate base or decrease rate base of by about $100 million, that's plus or minus approximately $0.02 a share. On the Renewables side of the business, if we look at merchant prices, plus or minus $1 per megawatt hour, impacts our earnings plus or minus about $0.02. Net capacity factor, if that was to go up 0.5 percentage point say from 32.5% to 33%, that would add about $0.05 a share. It's very symmetrical. So if capacity factors go down 0.5 percentage point, earnings would go down $0.05 a share. If we were to add more megawatts of wind than what's in the plan, that would - 100 megawatts of new wind would add about $0.03 a share. And then interest rates, interesting to see where interest rates are ultimately going to move, but plus or minus 0.5% on interest rates on non-utility debt would add or subtract about $0.04 a share from our adjusted earnings in 2022. So now I'll hand it over to Bob Kump to go through some of the exciting opportunities in Networks.
Robert Kump: Thank you, Rich. Thank you, Jim. Good morning, everyone. If there's one thought that I want all of you to take away from my presentation today, it's that the growth prospects of the Networks business within Avangrid has never been better. You've heard some of the statistics already from Jim. About 1 year ago, we talked about compound growth in rate base of about 6.5%. Based upon our latest forecasts and including the benefits associated with the elimination of bonus depreciation, we're now looking at rate based growth of 9% a year. That does not include any potential transmission investment subject to RFPs in the various jurisdictions. It also doesn't include several areas that we're focusing on now as an organization as we see potential further growth in, most notably, around battery storage and how we integrate battery storage into our network system, electric vehicles and the investment that will be needed to facilitate the growth in electric vehicles throughout our service territory as well as we're going to branch out and we're going to look at the potential for transmission investments outside of our traditional utility footprint. Okay. Now foundationally to all that, as you know, we have very, very sound rate agreements and relationships with our regulators. Jim mentioned that 85% of our rate base is covered by either long-term agreements or our annually adjusted FERC rates for our transmission assets. So it really puts us at, again, a great situation, at a great position to grow our business going forward. So let's take a look at our investments. So between now and 2022, we expect to spend slightly over $9 billion. About 60%, just shy of 60% of that, is in electric distribution, with the 2 largest projects in there being the full implementation of AMI or smart meters in New York as well as our DSIP plan in New York. Another 20% is focused on our gas distribution, most notably around leak-prone pipe replacement as well as gas expansion. And a case in point this year, just in Connecticut, we added about 6,500 gas customers despite the fact that the economics between fuel oil, which is our primary competitor to natural gas, remains somewhat difficult. On transmission, we see about 20% of our investment going there. Again, this doesn't include the large project. These are projects that we already either have approval for or requires some modest permitting, but is not subject to any form of RFPs or solicitations. Looking at it a little bit differently. Of this $9.3 billion, about 87% is secured, and again, the definition we're using there is, it's not subject to any further approvals or permitting, any other 13% would be highly likely and it does have some regulatory work that needs to be done. Major projects within the secured, they've been noted already. A couple of them, the DSIP plan in New York for our companies, that actually - that plan will be updated by June of this year as required by regulators in New York. I don't anticipate a lot of changes to the plan. Although, one of the focus points in this second round will be how do we better integrate the use of battery storage, as I mentioned, as well as electric vehicle infrastructure. Brightline is another big one Jim touched on. I've got a slide on that in a bit, and then MEPCO, which is a 40-plus-year-old line that we're doing some refurbishing on. And another highly likely, obviously, the AMI in New York, just north of $0.5 billion, some additional MEPCO and Brightline investments. Now just to talk for a little bit on the regulatory and what we expect for the coming year. First of all, on tax reform, as Jim mentioned, we knew from day 1 that any benefits associated with tax reform, from a regulatory perspective, is going to go back to consumers, and that's the right thing to do. What we're focused on is how should that benefit be used on behalf of consumers. So to give you a sense of magnitude, we're estimating in aggregate about $130 million on an annual basis. That can go back to consumers. That's about $50 million in New York, $40 million on FERC, $30 million in Connecticut and $10 million in Maine. Our proposals, as we work with regulators on this, will be to utilize them first to try to recover some regulatory assets that we have on our books. This year, we had 2 major storms, 1 in New York, 1 in CMP that we think would be great to use these dollars to help recover those instantaneously. Another one would be AMI. I think this is a perfect opportunity in New York to utilize some of these savings to recoup the investment in AMI, okay. Looking at New York. Overall, we are now in May going to start the third year of our 3-year rate plan that we have there. For the year 3, we can keep all earnings up to 9.75%, on a 50% equity ratio, okay? And we continue to have all the regulatory deferrals and recovery mechanisms that we've enjoyed over this 3-year period. At this point, we are still evaluating whether or not we will look to file for rates that would become effective in May of 2019. What I will say is this is that if we do not file and plan to stay out, the current rate agreement is structured such that all the recovery mechanisms, all the deferral mechanisms, the third year ROE and sharing methodology, all that stays in place. So we've structured this 3-year deal to allow us, if you would, to stay out and have all the terms and conditions continue. In Maine, at this point, we do not anticipate any kind of regulatory filing or rate filing in calendar year 2018. UI, as you know, just started the second year of its 3-year plan that we reached back in 2017 and that is a 9.1% ROE and a sharing of 50:50 over that. Southern Connecticut Gas, we reached an agreement just this past year. That agreement is at 9.25% with 50:50 sharing over that. So that's good for a few years. We will be filing, as Jim mentioned, for new rates, both at CNG and Berkshire, okay. Berkshire is the only company of our 8 utilities that does not have revenue decoupling. So that will be one of the focus points in that filing. Keep in mind that these 2 companies in aggregate only amount to about 5.5% of our rate base. So while they're relatively small, it is important, and we feel we need to do to file with those 2 companies. And then Jim touched on the FERC rates and where we are there. So I won't go over that again. Let me talk now a little bit about some of our major projects that we have ongoing, and we'll have ongoing over the next 5 years. These are projects that are included within our guidance and our forecast for the next 5 years. So in Maine, I mentioned MEPCO. So this is a 46-year-old line where some of its structures are failing. So there's basically a refurbishment effort underway. That's about $200 million. And then we have Mid Coast. It's actually a system upgrade in the mid part of the state. This was originally contemplated. It was a part of our MPRP projects. It was deferred. We expect to get working on that in earnest in 2019. In New York, I've mentioned AMI and DSIP. A couple things just to elaborate, particularly on AMI. So we have been in negotiations with the staff and other parties on this. The next steps are as follows. We will be providing updated cost data on that project by the end of next month, by the end of March, and our hope is, in the second quarter that we reach an agreement with the staff and other parties on a path forward and have the commission approve that this summer, so that we can begin installing those meters by the end of this year. Brightline. Jim touched on this one as well. This is really required investment to upgrade our systems to current NERC standards or anything over 100 kV. Most of the systems that's affected for us is our 115 kV system in New York and in Maine. So we have to provide updates to 46 substations and about 280 miles of transmission lines. Over the next period, through 2022, that's about $840 million in investment we see and there's investment beyond that as well. Of that $840 million, we're seeing $355 million as secure and that it requires no further permitting or approvals, and the other $485 million will be working on to get whatever permits are necessary over the next year. Now everything I'm going to speak to through the rest of my presentation is not in our long-term projections. So this is all potential upside to the 9% CAGR that I mentioned for the Networks business in terms of rate base. So a couple of projects I want to touch upon. We've talked about this on before, Connect New York. This is the concept of a DC underground line from basically Utica through the congestion constraints to the city. We continue to work on progressing that to the point where we're just about ready to do an Article VII. We really want to wait for what's expected to be a public policy initiative by midyear in New York that we think this project will fit perfectly into. The public policy is really going to be looking at - therefore, seems to be looking at how do we facilitate the growth in Renewables, namely wind and solar, and how do we get that power to New York City. So this project, from our perspective, addresses a number of things. It addresses congestion, it provides a market for upstate nuclear that are currently supported by ZEC. And it'll facilitate, as I said, wind and solar and upstate and create a market to bring that power to the city. New York Transco, we're a 20% owner in. We're awaiting the results of the, what's called, the AC proceeding. We expect to have preliminary results by the end of the first quarter by next month and then a final recommendation by Q2. In addition, I think the Transco will be well positioned to also consider some projects within this new public policy proceeding that'll come out in the first half of this year. In Massachusetts, and Laura is going to speak more to this, but with respect to the offshore component, we were involved helping the Vineyard Wind team in developing various transmission solutions for that project, and I'll let Laura speak more to that in a few minutes. NECEC. So we were really pleased last Friday when it was announced that we are the winner of that RFP so long as Eversource is not able to receive its SEC permit in New Hampshire by March 27, about 5 weeks from now, a little background on this project. So this is 1,200 megawatts DC emanating from Lewiston, which is kind of in the center of this map to the Canadian border. It's 145 miles, 2/3 of which is existing transmission corridor and the other 1/3, it goes through industrial forest, and we have secured that entire path to the Canadian border. We've always felt that this project at a cost of $950 million as compared to similar projects that were teamed up with HQ that we were going to be incredibly cost competitive and that importantly, it's constructible. And I think we really have that with NECEC. We've filed all permits. We expect them to be complete and in hand by the first quarter of next year, and we will start construction immediately thereafter and complete by mid-2022. The support we've gotten on this line has been consistent from all constituents. Governor LePage has been very supportive and has written numerous letters in support of the project. We've had support from legislators, from local communities and even from environmental firms. So we really feel good about the position of this. We're going to be working very diligently over the next month with the evaluation team to develop the contracts necessary that can then be submitted to the Mass DPUC for approval. So again, very excited about this project, and we're really committed to making good on the commitments that we've made to consumers in the Commonwealth. With respect to other transmission. Another thing I mentioned early on is, based upon the experience that we've gained through numerous RFPs, both here at Avangrid, but also the experience that we can leverage off of with our parent IBERDROLA, we're going to be looking at the potential for investing in and bidding into RFPs across the country. If you look at estimates, the amount of transmission that will need to be built over the next 10 years, they run as high as $150 billion, or $15 billion to $20 billion a year. And we think we have the expertise and the know-how to be successful in tapping into some of these areas. So we're developing and augmenting our corporate development team as we speak, and we'll be looking very closely at some of these regions to see where it might make sense. I'd say some of the things we'll look closely at will be the type of project and do we have particular expertise in that project, the structure of the RFP, as well as the success rate of non-incumbents in those regions, but we're really excited about branching out and looking at other opportunities across the U.S. Couple of last slides. Energy storage. This is an area that, obviously, you're all aware is just starting to grow as many regulators look for what's called non-wires alternatives to traditional transmission infrastructure investment. We have a number of projects ongoing right now, 4, in New York, 2 at NYSEG, 2 at RG&E, that will be online by the end of this year. We have a project in Connecticut at a Woodmont substation that we're working on as well. And then importantly, in Maine, we had a very good ruling recently where it was decided - the commission decided that it should be the utilities that determine whether or not a non-wires solution makes sense, and the utility should be offered the ability to implement the non-wires alternative. So this is an area that is still under development. We think this is an area that could provide good promise in terms of further investment for the Networks business. On electric vehicles. Our goal, quite frankly, is to be the enabler and not the bottleneck to the proliferation of electric vehicles. While I think home charging is going to play an important role, I think more importantly, in order to get real critical mass in EV penetration, you're going to need a network of rapid charge stations throughout our service territory, in the case of our utilities, but throughout the country. And that's going to require significant investment in the grid, because putting these banks of 4 or 5 rapid chargers, it'll take money to refurbish and upgrade the systems in those areas. So this is something we're focused on now. We're putting together some proposals at each of our jurisdictions, in Maine, Connecticut and New York. New York, as I mentioned, it will be probably submitted as part of the DSIP plan. We'll also look to put some proposals in front of Connecticut and in front of Maine to help kick-start, if you would, the shift towards electric vehicles. Depending upon what you assume for penetration of electric vehicles, and if you start getting 30%, 40%, 50% penetration, which is viewed by some to be feasible in the next 20 years, that will result in significant investments in the grid to make that happen. And then lastly, Jim touched upon our Ithaca smart community where we made very good progress in 2017. 2017 was all about putting the infrastructure in place. So we completed the installation of 19,000 smart meters. We automated several substations as well as lines throughout the region. We put together a, what's called, a developer portal, where developers can go in and take a look at where best on the system they may be able to put community solar facility or wind facility or that type of thing. We also put a portal together for consumers if they're interested in buying various energy efficiency equipment or looking to find someone that's qualified to install, for example, rooftop solar. The key for this year is all about engagement, because we really want to learn from this project in terms of how we can roll this out further across our Networks businesses going forward. So we're looking to engage. We're putting time of used rates in place for consumers, giving them information for them to better conserve and adjust their energy usage. And again, we'll use all the data that we learned from this to better inform how we fully roll out, whether it's a further DER enablers or AMI in New York. Again, an area that we're very, very excited about and one that I can tell you that the commission in New York is following very closely, because they're looking to use this as a learning opportunity. So with that, I want to thank all of you for your attention. I also would be remiss if I didn't thank all the men and women of AVANGRID Networks. We had a very good year, again, once again in 2017. It was not without its challenges. I mentioned 2 major storms we had. We had a storm in Rochester, where 3 of the top 5 wind guests ever experienced in Rochester occurred in the same storm in March of last year. And then we had a storm in October, in Maine, where 2/3 of our customers were affected. It was actually a larger storm in terms of outages than the ice storm you may recall back in 1998. You take things like that, we had numerous projects going on. You have management audit going on. We have integration and people exiting the organization, creates a lot of uncertainty. But through it all, the organization really focused on what's most important and that is serving our customers in a safe and reliable manner, and you did a great job at it. So thanks to everyone from the Networks organization. So with that, I'll turn it over to Laura.
Laura Beane: Thank you, Jim and Rich. Good morning, everybody. I'm going to start with just a couple of highlights. You have heard already today that we added nearly 600 megawatts to our portfolio during 2017, and the majority of those came online at the very end of the year. So it was a race to the finish, but our team did a great job and all of those facilities are now operating. We also made significant investments in our pipeline last year. So Jim mentioned that we are now at 12 gigawatts. Well, this year - this time last year, we were at 6.5 gigawatts. So we've added 5.5 gigawatts of projects. The vast majority of that, of course, is the addition of our offshore pipeline. So that also is significant new investment in onshore and solar projects. Out of our state-of-the-art national control center that we operate in Portland, Oregon, we are now dispatching more than 7.5 gigawatts of generation across 7 markets in U.S. as well as the bilateral markets in the West. And we're really excited, like Bob, and we feel very excited and confident about our growth prospects. We are continuing to focus on the delivery of customized solutions to our customers, and we see very strong - excuse me, thank you, Immanuel. We see very strong interest continuing from our customers both existing and new. Moving to our investments. With the extension of our plan to 2020, we are committed to adding new wind and solar as well as additional rate power projects. This will represent an additional $4 billion over the next 5 years. And as Jim noted, it is worth noting, that this does not include any significant investment in offshore, and as I'll talk about here in a few moments, we believe that we are uniquely positioned to be a leader in this emerging industry in the U.S. We are confident in our ability to deliver on the plan. Jim talked about the secured investments. We've got 1.7 gigawatts secured or in advanced stages of negotiation. And there really is tremendous interest in the market right now in our products and a lot of activity between our growth team and market participants. There is a lot of outstanding, very large RFPs out there. I think a lot of customers are really seeking to take advantage of the 100% and 80% PTC between now and 2021. And we have safe harbored 2 gigawatts of 100% PTC equipment, an additional gigawatt that we safe harbored last year of 80%. And then, as you know, we've got the 372 megawatts of repower equipment. As Jim mentioned, we did execute 846 megawatts of new PPAs last year. These will represent new projects for us in Oregon, Texas, South Dakota and New Mexico. And these contracts, as you can see, are serving both traditional utility customers as well as large C&I customers, and I think that really demonstrates our appeal to both of these key market segments. I'll talk to you a little bit about our strategy. It's been very consistent. It's always been about delivering customized solutions and really providing what customers want. And we have been focusing on areas where we can add additional value and not just deliver the lowest cost renewable commodity, and I really believe that, that sets us apart. And I'm going to speak to you just about a couple of our key regions. First is the Pacific Northwest. We have an established position here of 1.3 gigawatts installed, and we added an additional 257 megawatts during 2017. The Northwest was the original starting point for our company. This is where it all began for AVANGRID Renewables. And the organic growth that we have there, the expertise that we have developed in the state permitting processes, the robust relationships that we have with all of the key stakeholders there, and I think most importantly, our unsurpassed position of strategic transmission rates has really set us apart and given us a distinct competitive advantage in what remains still a very complex, bilateral, hourly scheduled physical market. We also have our self-balancing program in the Northwest, and I'll talk a little bit more about what we're doing with this coming year. But that has really allowed us to reduce our cost and also positioned us to be able to provide some unique offerings to customers that our competitors can't duplicate both at the retail and wholesale level in this region. South Texas is another area where we have a strong position, and I think the Gulf Coast really has proven to be a very robust wind area, but the megawatts that have been developed there had been limited relative to the West zone where you've seen a tremendous build-out. And I think it's because of some significance citing challenges that people have had there. And our team has really had insight, I think, and we saw the value proposition in this region early on and we came in and we developed best-in-class expertise and matching the resource with the load profiles and also being able to efficiently manage the basis risk there. And we are positioned to be a leader in this region and we see significant expansion capability here as well. We have over 600 megawatts operating and we added additional 286 megawatts of PPAs in the South zone. New Mexico is our newest area of focus. We placed our El Cabo facility online last year, 298 megawatts in this region and we signed a new PPA for 166 megawatts. This region also has a very robust wind resource and our team had foresight to establish a very large volume of transmission positions in the incumbent utilities transmission queue many years back. And with this transmission, we are able to link Renewables to high-value market and we also have a lot of expansion capability in this region. We have found New Mexico to be a very business-friendly environment, I think, that they recognize the value of their export and they're working to aggressively pursue them. And we are very confident that we will be able to expand here and it will become a key region for our portfolio. So offshore. I think I'll offshore is our next frontier. It represents a really exciting area of incremental growth for our Renewables business. You have probably been reading in recent months there has been an explosion of offshore-related activity and announcements in the Northeastern state. And we now have specific offshore targets in Massachusetts, Connecticut, Rhode Island, New Jersey and New York. There are also renewable targets that have been stated which will likely include offshore in New Hampshire, Vermont and Maine. The combination of our U.S. onshore Renewables and transmission expertise, the expertise that we have in the U.S. energy markets and probably, most importantly, the ability to leverage the capabilities of our European affiliates who had demonstrated technical knowledge and engineering capabilities uniquely positions us for a leading role in this growing market. So for today, our current offshore presence excludes the partnership which Jim mentioned in Vineyard Wind. This is a 50-50 ownership structure with Copenhagen Infrastructure Partners, and this partnership is already proven to be very effective and - with very complementary skills of the different team members. Vineyard Wind has bid into the Massachusetts RFP, as Bob mentioned. Part of that bid required an expandable transmission solution that we were able to work with some of our experts on the network side to put together what we believe are some very competitive offerings in this bid which, we think, will help kick-start Massachusetts offshore industry. I think the most significant advantage that our project has is the potential online date as early as 2021, and this project is mature. It's already well into its 5-year plan and it's already completed some really key milestones. It's filed their energy facility siting application and submitted its construction operation plan in December. And there's a lot of activity, as you've seen, and I really feel like we're watching a healthy competition starting to develop between the Northeastern states and now who's going to be the first in line for offshore wind. And there's actually a really important reason to be ahead in this race. As you've seen in the European market, the early movers, the places where you first start, the ports and the infrastructure that get built there, it's so much less expensive for people in other regions to be utilizing that same infrastructure, those same ports. So whoever gets started first is likely going to be the foundation or one of the primary foundations for the U.S. offshore industry, so we really believe that our early online date and a very mature project and a very skilled team is well positioned for success in this RFP. Jim mentioned that we also secured a lease off the coast of North Carolina. This is a longer lead time project but we think being an early mover here will position us as this market continues to develop. I mentioned previously all the developments which I believe confirms considerable momentum in the offshore industry in the U.S. But specifically, just calling out a few of them, Connecticut released an RFP at the end of January for approximately 200 megawatts of resources including offshore wind. Rhode Island included offshore in their clean energy goals specifically, and New York has indicated their intent to issue 2 RFPs, 1 this year and 1 next for up to 800 megawatts of offshore. And then most recently, New Jersey came out with a stated target of 3.5 gigawatts of offshore wind by 2030. With rapidly declining cost of offshore wind, aggressive renewable targets in these Northeastern load centers and with insufficient land available within the footprint of these key markets, you're really now competing against Renewables that need to be imported and that involves high-voltage build-out significant expense for this transmission not to mention really difficult permitting and siting issues and long lead times. I think with all these fundamentals coming together, it is clear that U.S. offshore has a very bright future and is poised to play a big part in the Renewables market going forward. Strong demand exists for renewable offerings, and I think we're all seeing continuing trend of coal retirement. You're seeing increases in numerous state RPS targets, and we're also seeing an important increase in corporate commitments. And I don't know if you're familiar with RE100, but I think it's a really good example of this and a very clear example of this increased commitment. RE100 is a collaborative which has now grown to include 125 companies who have made a commitment to a 100% renewable electricity to serve their load, and this is now including some of the most influential companies in the world including AB InBev, Apple, Google, Facebook. 125 of these companies making this commitment. We have developed very strong relationships with large and strategic C&I customers and they're attracted to the offerings that we're able to bring, and I think we are well positioned to serve this growing segment. In addition, you're seeing utilities starting to take advantage of declining costs and wanting to add more renewables to their rate base. We see this as an exciting opportunity for partnership and there's lot of structures that we've been seeing come to play with a half-built to sell, half PPA models that we look to replicate. Solar does remain an important part of our long-term strategy. The recently implemented tariffs we believe that will have a short-term disruption to this market, but in the discussions that we've had with manufacturers. I really strongly believe that they will retool, they will move operations, do what they need to do and, in the long term, I think supply will remain robust and competitive. We do have a strong pipeline of projects and we continue to look for opportunities to develop projects that will meet our investment criteria. Entering 2017, we did add our 56 megawatt Gala project in Oregon, which is now the largest solar facility in Oregon. And as Jim mentioned, we have recently begun construction on our Wy'East solar facility which is also an Oregon facility. Batteries are definitely emerging and we expect they will play a much larger role in our product offerings going forward. One of the things I wanted to highlight, I talked about our self-balancing program. We have been running this program successfully since 2010 in the Pacific Northwest. We've been doing it up to this point in time as a partnership with Bonneville Power Administration, and essentially, we've taken over the balancing responsibility for 1,300 megawatts of wind in this region, and we are now taking this to the next step. We are going to register as an independent balancing authority. We are well down the path. We are scheduled to go live in June of this year and this is a really important project for us because it helps us to reduce cost but it also allows us to provide some pretty unique offerings particularly to the C&I segment that other people can't compete with. And as part of this balancing authority, we are installing a battery. It's a 10-megawatt battery and it'll enhance the reliability of our operations, but also I think most importantly, it'll provide an opportunity for us to collect data and actually operate this battery and better understand the capabilities which we think we'll be able to apply this knowledge to supplement our product offerings. We are looking at a lot of hybrid products. We have numerous projects under development which combine battery storage with solar as well as combine wind with solar to deliver a high value product that's the baseline objective. And for wind and solar combinations, we have identified existing wind projects where you have incremental capacity available under the interconnection agreement. And the idea is that you can utilize existing infrastructure and create a very cost-competitive project and also improve the output of the product of these wind facilities. We're also looking for wind developments that have primarily evening peak profiles such that you can match them potentially with solar. You've probably heard about those other entities. I know we're looking to do it. With the idea that you increase the net capacity factor and develop and deliver a firmer product to the grid. As far as the batteries go, I can tell you that most of our recent solar bids have included a battery storage component and we're continuing to refine our expertise. We want to understand how to best design the technology combination for the highest value renewable offerings, and batteries will definitely be an important part of it. And finally, we continue to build on our unique offerings to deliver high-value products to C&I customers at the retail level. Currently, we're operating as an energy services supplier in the Pacific Northwest but we're looking to expand this capability into other key markets to serve these customers. In closing, we really do have a very experienced, dedicated, passionate team committed to expanding renewables here in the U.S. and positioning Avangrid Renewables as a key player in this market. And I look forward to any follow-up questions that you may have. Thank you.
James Torgerson: Okay. We're going to open it up to questions so do people have - in the room? Yes probably, do you need a microphone or I can repeat it.
Robert Kump: We need the microphones, but...
James Torgerson: We need the microphones because we're doing a webcast so...
Unidentified Analyst: So first the 2018 guidance. The corporate level, the 6% hit from lower interest income following the sale of the storage business, if you could explain a little bit more about - are you trying to manage a certain debt to cap structure hence the need to re-capitalize the balance sheet following this transaction? That's one. And then for the '18 guidance and for the longer-term guidance for the Renewables business, are you incorporating the 1.5 to 2 percentage point improvement in the NCF of the assets in your guidance especially through 2022? Thank you.
James Torgerson: Let's start with the $0.06. What it was is there was debt at the Gas Storage business of about $900 million. And so in order to be able to sell it, we knew we'd have to bring that out of the debt business, because we're not going to be able to sell it with that debt, so we put it back into the corporate area, which before we were charged - charging them for it - we got interest income, we reported it on the corporate books. And when we showed it as an adjusted number with the gas storage out of our numbers, we showed the income. Now that we brought it back in, it disappeared, is really what happened. And so now there's - that difference caused us $0.06 differential in our income we didn't get basically, and so that's really how you had to look at it. So that was the piece that caused us the $0.06 reduction. And Rich, do you want to?
Richard Nicholas: Right, that was all inter-company. There was no external debt there, just to be clear. So on a consolidated GAAP basis, there was no difference because it was eliminated on consolidation. But since we had excluded the gas storage from the adjusted earnings, when that debt moved back in order to get the business ready to sell, make it debt-free, cash-free, it affected the adjusted results at corporate. And then your second question was...
Unidentified Analyst: Presumably, you've got some money from the sale of the business, right? So some of it should have been used to pay down the debt?
Richard Nicholas: Some of it, but as you saw that we took a pretty substantial reduction in value in the fourth quarter on the gas business. So kind of marking it for fair value.
James Torgerson: If you look at the numbers, where we're getting roughly $150 million or so for the trading business and about $75 million and it's still going to be subject to change and working capital adjustments and some other adjustments at closing, but - so in the aggregate, about $225 million. So the other part of your question, on the net capacity factor, looking forward, we did factor in the boost production into it, which is about 1.5% to 2%. But then, we also reduced the capacity factor. Because the wind production being down the last several years, we look at that kind of offsetting it. So we reduced the capacity factor that we would have experienced from, what we call normal wind. We reduced our look at normal wind basically, and so kept the capacity factor where we would have had it anyways, but now it's netted with those 2 factors. And now Laura, do you want to expand on that a little bit? Because it's a big investment - it's an investment we're going to be making.
Laura Beane: Exactly. And Jim is exactly right. It seemed really clear to us that we - a couple of years ago, when kind of the baseline was set for what we considered average wind, the last 3 years in a row has not materialized at that average. So clearly, something might have been off with the average. And especially in the West, we have just seen some really - I've been spending a lot more time with our meteorologist lately trying to understand what is going on. And really in the West, in particular. We've seen just these cold fronts settle over the entire footprint and just literally the wind just drops out. And we've got - unlike a lot of our competitors I think have most of their portfolios in the Midwest, we've got over 2 gigawatts in the West, and so that impacts us. And we - I have to say fortunately the West has finally sprung to life and we've seen kind of that cold front lift and we're seeing strong wind patterns there that lasted a while but we can't count on that. And so it just seemed important to make - be a little more conservative in our NCF but we used the boost to kind of normalize that, if you will.
Richard Nicholas: We do see in the long-term outlook though new production coming in at the kind of 40% range from a capacity factor. So you blend that in and that gets you to the 32.5% in the long-term outlook.
James Torgerson: Okay, Mike?
Michael Lapides: Hey, guys. Michael Lapides of Goldman. I kind of want to walk through the earnings bridge for the next couple of years. First, blush and this will take some digesting, it feels very hockey stick like, back end loaded 2020 as [ph] Because - and let me know if I'm just missing something here. The midpoint of your 2018 guidance of $2.36, not that $0.16 above what you actually did in '17, and you're - while you didn't give 2019 guidance, you kind of talked it down on the Renewables side, right, your tone on project timelines and that type of stuff. And yet you maintained the 2020 level which implies a pretty sizable step-up. So first, I just want to make sure I'm getting that, that what you're really seeing is a really big pop in 2020 at the consolidated EPS level. Second, is the Networks business has hockey stick like, as I think, what you're guiding to on the Renewable side? Or is it more kind of a gradual growth rate more kind of a smoother growth rate? And third, Jim, if you could talk, what are the 2 or 3 things that you could see bringing you outside of that 2020 guidance on either direction?
James Torgerson: Sure. Let's start with Networks. Networks is probably going to be a little smoother, as you would expect. We have growing rate base and it's going to be pretty steady with the investments we're going to be making, aren't a lot of big changes. When you look at the Renewable business, you got - as we said, we got 10 megawatts coming on in - they were constructing this year for 2019, and then the other new projects with PPAs are coming on in the latter part of '19 and 2020. So it is creating - we're not going to get any new production. So we're going to have what we have today, more or less. Until the latter part of 2019, I guess, is the best way to look at it. So I wouldn't call it hockey stick but yes, those are the things that when we look at the production and the new construction we're going to have, that's the profile we're looking at today. Networks is going to grow. We're looking - as Bob said, 9% growth in rate base, and it's not all at the end. So that's - it's over time. And the 2 or 3 things that could take us inside or outside. I mean, you look at wind production. I think we've gotten a little more conservative on the wind resource. That's one thing. So that could be a plus upside. It could be a downside if we get really low wind again. We're not seeing that so far. But in the West, which is as far as we have quite a few assets that if we're not in the wind production, it's going to be impacting, whereas others, more of their wind resources are in the Midwest. That's one. I think the others, when you look at, again, regulatory approvals for some of our projects, we're very confident that's going to occur. So when you start thinking about AMI, when you start thinking about some of the other things we have that Bob highlighted, those are probably going to happen in the Networks business. The other piece, we still have to sign some PPAs for more wind production. We got a number of them already signed up. I think we're up to 1,400 megawatts that we're going to add out of the 1,900 we said we'd have by 2020. Then we had another 800 on top of it which we don't have PPAs for you. We're confident that's going to occur, but we also have to look at different structures now. With the Tax Reform Act, it does stretch out when you can use your NOLs, your PTCs. So we're going to be looking at tax equity. We're going to be looking at partnerships. We're going to be looking at any - all kinds of mechanisms that others have done and we didn't need to do previously. So now we're tapping that on. So they're a couple of things - those are the couple of things, Michael, that - obviously could add or detract one way or the other. But we're actually very - feel really good about our long-term forecast. I think, when we look at the business, we're focused on the long term. And the short term, yes, we got to manage that, but we have such great long-term projects and long-term growth prospects right now that we feel pretty good about it.
Michael Lapides: Big-picture question. You've had a month or two to digest tax reform and the tax reform impacts, and clearly, you're not in the same position a lot of other companies are in terms of balance sheet and credit metrics. How does tax reform impact the broader environment for utility M&A, in your view, and then your larger shareholders' view?
James Torgerson: For M&A, I think you're going to - obviously, we're going to have lower tax rate, but for utilities, it's not going to really matter that much for the utility because getting cash back so it reduces the - it's also reducing our cash flow, as you know, because now we got to pass it back to customers. So cash flow has gone down a little bit. It's going to require people that are looking at M&A, do they have the debt capacity to be able to do it? Are they going to have to do M&A with equity? And interest rates are starting to rise. I mean still, we're talking about a treasury that's $290 million. It's still pretty low debt cost. So I think the appetite may still be there. People may have to think about how they're going to structure things. Their cash flow isn't as good right now. Ours wouldn't - in much better shape, because of our low debt level but as we said in the past, we have such good growth prospects that we're focused on delivering what we say we're going to do under a strategic plan. So we're going to keep doing that.
Richard Nicholas: Michael, I guess one other variable to consider is the IRS is still yet to issue guidance on how holding company debt is going to get treated for tax deductibility if you use it for utility purposes or not. And so depending on where that guidance comes out, that could have an impact as well.
Michael Lapides: Okay.
James Torgerson: Joe was first I think.
Unidentified Analyst: Thank you very much. The first question is on tax reform. So you were - previously you're predicting tax reform will be 4% beneficial on your 2020 earnings. It seems like the number you've given today, there's a gap between that. So would you let me know what's the - what has changed or what's in your thought on that?
James Torgerson: Nothing has changed dramatically. When you look at it, we said $0.10 a share roughly now, then we added in the cost of additional financing is going to be, which I don't think we had included before. I don't know, Rich.
Richard Nicholas: No I don't think anybody was included in that before when you look around the sector, but it's real because of the cash reduction at Networks.
Unidentified Analyst: Okay, understood. Secondly is on NECEC. So my understanding it's just like Northern Pass, you also connect to Hydro-Quebec and you also need to secure the SEC permits from the state of Maine, right? No?
Robert Kump: No. There's no such thing as SEC permit in Maine it's really a CPCN is what's called with the regulatory body in Maine. So we've already filed that. We'd no interveners virtually at all in that or our presidential permit. So again, we feel like we'll have all permits and approvals in hand by first quarter next year.
Unidentified Analyst: First quarter next year, okay. The total CapEx is $950 million and when are you going to start to rebuild it, until you book AFUDC on that?
James Torgerson: Yes. We would book AFUDC on it. We start construction in 2019 after we get the required permit spacing.
Unidentified Analyst: Like in the beginning of 2019 or second half?
James Torgerson: It probably be in the second quarter or second half, probably more.
Unidentified Analyst: Second half, okay. And also you mentioned about the transmission growth in new regions. There are going to be 2 other RFPs. So first, is this your current CapEx plan? And secondly, do you have a preferred region to do that?
Robert Kump: No. It's not in our plan at all. And if you look to the slide, there were several areas I think, MISO, CAISO, PJM. Those seem to be the areas where the process is similar to what we've experienced in New England. So we're familiar with that. The key will be what's the nature of the project? Do we feel we have expertise in that? And then also we look at, as I mentioned, what's the success rate of non-incumbents in those areas because there is - despite for quarter 1000, in some areas, it's been very difficult for non-incumbents to make headway. So we're going to be try to be strategic here and look at those areas where we think we have the best opportunity based upon our expertise and our knowledge of that market to get involved.
Unidentified Analyst: Right. And my last question on Renewables. So you're talking about - in your guidance, your net capacity factor will be 32.5%. And what is the normal - what is the definition of normal wind at this point? I see that in 4Q, you're 29%. Is that a normal level?
Laura Beane: I think before, and again, it's hard to compare now because we've added so many new projects in the last year. The original historical average was 31.4% and that was taking a 2011 through 2014 average of the existing wind. Now - and we can calculate it, I'm sure and get back to you, but we've now added 600 megawatts of higher capacity factor projects because the turbine technology has improved so much and we're in New Mexico and some of those areas where we really got higher capacity factor. So I think that's historical, if you were just trying to do apples to apples, will now be a bit higher.
Unidentified Analyst: Great. Thank you very much.
David Emami: Hi. David Emami from Verition. I guess first, I had a - can I get a bit of additional details on the El Cabo transmission project - problems that were going on? And I guess those have been alleviated. And has that impacted the - you mentioned the tax equity financing you guys are trying to get. And then I guess there's a tax equity financing in lieu of your JV partner exercising their option? Or is that in some - I guess it is on your state?
James Torgerson: Well starting with the transmission. There was supposed to be an outage of a few weeks and ended up being an outage of 3 months. And so that did impact us being able to actually move electricity from El Cabo into the market and to deliver to their customers. So yes, it had an impact, and I'll talk about the other. The tax equity, we have a partner. The partner requires tax equity. So we have to get the tax equity done, then they have the option of getting in. So right now El Cabo is all ours at the moment. So we're still working on the tax equity piece. So Laura, do you want to talk about the transmission outage because that was a big impact for us.
Laura Beane: Really it was, and I think this is just the nature of the system. I mean the transmission operators, they really have full ability to declare outages and do necessary upgrade in reliability pieces. And what we've experienced particularly in the West in recent years, I think there's such a nervousness around sharing information with one party that you don't share with other parties. And so to protect themselves, they just share no information at all. And so what happened from our perspective is we literally just saw the outage we posted a Thursday afternoon and it was supposed to start the following Monday. We had no forewarning. It was an outage that initiated on Southern California Edison system but they're all interconnected. And our transmission operator there is PNM in New Mexico. And so essentially it just took the whole facility, that whole region where others impacted to 0. And it just kept getting extended and extended and extended. And so we - again what we thought was going to be an impact for a couple of weeks lasted well into January for that facility, and it did definitely impact our ability to do everything that we're intending to do with that project so...
David Emami: Okay. I guess as a follow-up to you guys mentioned looking at other regions for the Networks business. Do you guys have any - and you mentioned that you're building up the corporate development team. Is there any interest in potentially looking at M&A transaction either assets or corporate to get into a different geographic footprint? Or is that purely something that you would do through your own organic?
James Torgerson: At this point it's inorganic, I guess. Yes, we have a development team that's looking at projects we can bid in and RFPs, just like we did in Massachusetts. So that's really the focus now.
Robert Kump: It's possible we could JV with someone on a project. But in terms of our own people, that's our focus.
David Emami: And I guess just last question. You guys mentioned but then you're making a decision on filing in New York for rates effective May 19. I was wondering what's the timing to make a decision there?
James Torgerson: Its 11 months from filing to getting new rates. So in theory, if you wanted new rates to be effective right in May 19, we'd be filing by April. April, May, maybe late is June. But at this point, it's still under evaluation. So - and I think the primary focus right now, as I mentioned, is CNG in Berkshire and getting those rates in place for first of the year and then we'll consider what we should do in New York. Not quite the urgency because as I said, all of the terms and conditions in year 3 continue.
David Emami: Thank you.
Josephine Moore: Hi. Josephine Moore from Bank of America. I was wondering if you could give a little bit more clarity on the $5 megawatt hour drop in the REC. What drove that? Is that regional differences, output?
Laura Beane: What we utilize is a curve and I think as everybody knows, curves are always wrong. I mean that's just the nature of a curve, but that's just based on the best information that we have in the markets based on supply and demand and the factors that we're seeing.
James Torgerson: And we actually saw pretty robust prices just last year but the curves would tell you it's coming down. So that's what we use our forecast.
Josephine Moore: Got it. And then just on the decision to look at tax equity, what's driving that? And as you're looking at new projects moving forward, how do you value whether you want to be doing tax equity or different from the financing?
James Torgerson: I think one of the biggest thing is looking at when we can utilize our tax benefits. I mean we have - there was a $3.6 billion of NOLs to utilize. I mean you got to use those first before we can use the PTCs, and we have $430 million of PTCs to utilize. And by reducing the tax rate it extends when we can utilize those by quite a bit. So now it's looking at the economics overall and what's - what are the best economics and income we can derive by adding new projects. And what's going to be the best return. And that's why we're going to look at tax equity because we can't utilize the benefits right now or even for the next 5 years. So we need to look at our alternatives. And actually it's going to improve the economics.
Josephine Moore: Got it. Thank you. Just lastly on the EBITDA guidance for the Renewables business. Is that reaffirmed as is?
Richard Nicholas: We did not put out new EBITDA guidance.
Josephine Moore: Okay. So it stays as it was.
Richard Nicholas: No. It's a little more complicated because the SEC is really cracking down on non-GAAP items and providing reconciliations. So we did not put out guidance on EBITDA.
Josephine Moore: Okay. Thank you very much.
James Torgerson: Any others?
Unidentified Analyst: I was looking through the rate base guidance, and about 20% is for natural gas utility operations, but the focus primarily was on Renewables and the electric grid. I was just wondering is that - what do you think of the gas utilities going forward? Is that a business that you - the utility footprint that you look to expand to shrink as a percentage of the operations? Or just how should we think about those operations?
James Torgerson: I think the gas utilities are doing rather well. I mean we have 1 million gas customers, utility gas customers. And a lot of the investment and I think it's $280 million in New York and about the same in Connecticut just for replacing old pipe, bare steel cast iron pipe. So it's really upgrading the system and replacing old pipe. We're adding customers. As Bob said, I think we added 6,500 customers in Connecticut which that's pretty tough to do these days. I think we feel pretty good about the gas business. You look at the usage, the customers and adding more customers to it. Gas makes a whole lot of sense for most people as opposed to burning oil which half the people in Connecticut still do. So we feel from an environmental, from an economic standpoint, the customers when they need to change equipment are going to go to gas assuming it's available. So we're still focused on that. It's a good business. Returns are good. And Bob, you could.
Robert Kump: I think you're spot on Jim. I guess I'll say that prospectively, when you talk about large areas of potential growth, you've not seen quite as much on the gas side mainly because we're pipeline-constrained and that ability to build a pipeline in phases is virtually nonexistent. So we have a lot of opportunities on the electric side not as much I guess but we love the business, we want to continue to grow it. If there ever is an opportunity, whether it's through being able to drill or build infrastructure in New York or there's a pipeline that can be built in New England, we think - it opens up avenues for greater growth, but for the time being, it's somewhat limited.
Michael Sullivan: Hi, good morning. Michael Sullivan, Wolfe Research. I have a couple of questions. First just on '18 guidance and '17, some of the adjustments you made at the corporate segment. Just wondering if you could help me bridge the $0.18 of positive earnings at corporate in '17 to the negative $0.05 to negative $0.15 in '18. I know there's that $0.06 from taking in the gas storage debt and also that unitary tax adjustment. Does that cover everything or is there some other movement going in there?
James Torgerson: I'll let Rich take that, but there are a lot of movements on the unitary tax that could have - would - should have been - were the result of the different businesses, mainly the Gas Storage business being sold and then changes that we put into corporate. So it got very complex on the unitary tax system where the benefits are, expense would lie. And Rich you...
Richard Nicholas: And we would expect going forward that those big unitary adjustments should be much less volatile forward. This year it was really driven by the sale of the gas business and then to have to reallocate the unitary taxes across the different jurisdictions and businesses. And so when we look forward, what's in corporate segment is really just interest expense on holding company debt and we did the $600 million in 2017, the $450 million of UIL debt that sits there now. And then the absence of what had been that $0.06 of inter-company interest income in corporate goes away. And that - just in 2017 not only affected the fourth quarter so - but all that really remains there is interest expense or the vast majority of it.
Michael Sullivan: And then I just wanted to circle back on the mass RFP project and the permitting process there. Maybe Bob, can you just give us a little more detail on the permitting process? I mean, you spoke to it - to being no intervenors about is it just one approval? And when does that happen? And then similarly for the federal permit that you need as well.
Robert Kump: Yes. Two big ones are just added. It's called the CPC in Maine and then the presidential permit which is the federal permit. We expect to get approval this year still on the CPC end. As it relates to the presidential permit, that's what we're seeing, as a first quarter 2019 event. What we have learned is that there is two forms of reviews that occur. One's called an environmental assessment. That's kind of a short - the short form, the quicker process and one is an environmental impact study and we've been told already because of the lack of interveners that it will just be an environmental assessment. So it gives us comfort that we'll be able to get that permitting done by first quarter.
Michael Sullivan: Okay. And on the Renewables side, you gave some of the sensitivities to incremental capacity there. I think it was about 100 megawatts is equivalent to about $0.03 of earnings. Is that the same for both onshore and offshore wind?
Richard Nicholas: That was based on onshore.
Michael Sullivan: Okay. So for some of these offshore incremental opportunities I mean, can you just give us a sense of some sensitivity there as to how much earnings upside there could be?
Richard Nicholas: No. We haven't put that out, but generally, you're going to see a little better return on offshore than you are on onshore.
Michael Sullivan: Okay. And then the last thing I just had was the slide on the dividend growth, I just wanted to confirm the - achieving the 65% to 75% payout ratio, you're seeing that on 2018 with the initial increase or by 2022?
James Torgerson: We're seeing - you talked about 65% to 75%, well, that's what we're targeting. And if you look at the dividend we're paying today and look at that range we have on guidance, we should be getting into the 65% to 75%. So it will give us the capability to raise the dividend during 2018, prospectively, going forward.
Michael Sullivan: Thank you.
James Torgerson: Any others? Well if not, thank you all for participating today, and we really appreciate your being here. And if you have other questions, which I'm sure everybody will, feel free to contact your investment - our investor relation's team. So thanks a lot.